Operator: Good afternoon, everyone. Welcome to the Dundee Corporation Third Quarter 2022 Results Conference Call.  Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties relating to Dundee Corporation's future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Dundee Corporation's 2021 Annual Information Form and other periodic filings. You can access these documents under the company's profile at www.sedar.com. I'd like to remind everyone that this conference call is being recorded today, Monday, November 14, 2022. On this call, management of Dundee Corporation will be quoting dollar figures. All figures are in Canadian dollars unless otherwise noted. Participating on this call will be Jonathan Goodman, President and CEO of Dundee Corporation; and Lila Manassa Murphy, Executive Vice President and CFO of Dundee Corporation. At this time, I would now like to introduce Mr. Jonathan Goodman to provide an update on the quarter. Please go ahead, Mr. Goodman.
Jonathan Goodman: Thank you, operator. So I want to talk about five things on today's call. The first is that during the quarter, we completed the conversion of our interest in Big River Gold to a 20% joint venture interest in the Borborema Gold Project. This will give us direct access to the project's cash flows. At present, we're working with our partner, the 80% owner, Aura Minerals. And they're working towards updating the 43-101 and redoing the feasibility study for this fully permitted project. And we're very excited about this getting to construction phase at some point in the new year. Today, we reported that TauRx reported to us and to our shareholders that 99% of their warrants were exercised at the US$45 per share price. We own 3.2% of TauRx fully diluted, which is a little over 1 million shares. They are now cashed up and proceeding towards regulatory approval. The reported results that TauRx reported in their previous press release was that the results of the study were for people with early Alzheimer's who called MCI which is mild cognitively impaired, the HMTM treatment resulted in sustained improvement in cognition over pretreatment baseline and normalization of brain atrophy to a rate similar to healthy individuals. For people with mild to moderate Alzheimer's, HMTM stabilized cognition and function and reduced the rate of brain atrophy compared to historical matched individuals with dementia. And HMTM is an oral drug, with a strong safety factor, having no risk of amyloid-related imaging abnormalities. TauRx will present the Phase 3 findings at the Clinical Trials in Alzheimer's Disease, which is the CTAD Conference on Wednesday, the 30th of November 2022. Dr. Claude Wischik, the Founder and CEO of TauRx said and this is a quote, “This is the first time any treatment has produced evidence of sustained improvement over the individual’s own pretreatment baseline lasting 18 months at an early clinically detectable stage of AD, and stabilization of disease progression at more severe stages. The results in AD confirm published findings from two earlier HMTM Phase 3 trials. The availability of an accessible oral treatment which does not require expensive monitoring over routine clinical care opens up an opportunity to intervene before the onset of the cognitive and functional decline that lead to loss of independence.” When Biogen and Eisai announced the results of their latest Phase 3 trials on lecanemab, their combined stock prices after they announced the results went up by over $15 billion over the next several days. We believe that TauRx's results were better than those. At the warrant exercise price of $45 per share, TauRx has a market cap of $1.4 billion. If TauRx went up by the same amount as those two stocks, that would imply a share price of over US$450 per share. And we own a little over 1 million shares and that's why I'm spending so much time. This has the potential of being a very significant holding for us. The next holding I want to talk about is Reunion Gold. Reunion Gold continues to drill off their Oko West project in Guyana and we continue to be very excited by the results. This project takes a lot of boxes for us. One, Guyana is a mining-friendly country. Two, the top of the deposit is saprolite, which is a highly weathered rock and will lend itself to very low cost mining. We expect a quick payback on whatever mine gets designed because of the costs involved with the start of the mine. Three, the host rocks surrounding the deposit is accompanying granite, which should allow for steeper pit walls and a lower strip ratio. Four, the deposit is very wide and continues its depth. The dimensions of this discovery suggest that they are drilling off a deposit that is world-class in nature and will be attractive to any gold producer. This company is well cashed up and has many rigs drilling. We expect the maiden resource in the first half of 2023 for a 16% shareholder Reunion Gold and its largest shareholder. Magna Mining is a company that we just completed a deal where we helped them purchase the Crean Hill deposit. They are developing the fully permitted Shakespeare deposit along with Crean Hill in the Sudbury area of Northern Ontario. When combined, Magna has the potential to become one of the most significant new nickel producers in Canada. We are a significant shareholder of Magna and are very excited about the prospects. With the introduction of electric cars, nickel demand is expected to be very high for the foreseeable future.  And finally, we are continuing our quest to reduce the cost of running this business. The economic conditions in the market have us bracing for an extended period of higher interest rates. To that end, we continue to look at all of our expenses with a view to bring our costs down even further. We will have more to report on the new year. I'm now going to turn it over to Lila Manassa Murphy, our Executive Vice President and CFO to comment on some of the numbers that we released. Lila?
Lila Manassa Murphy: Thank you, Jonathan, and good afternoon, everyone. Thanks for joining us this afternoon. After Jon's update on our portfolio investments, I would now like to give you a financial review for the company. But before I do that, I would like to congratulate the team on the successful closing of the privatization of Big River Gold, which we announced in April of this year and the formation of the Borborema joint venture to develop the Borborema project in Brazil. We are looking forward to working with our partner, Aura Minerals, who has demonstrated great success as a responsible operator in Brazil. This transaction is a significant milestone for Dundee as we transform into an emerging gold producer that will participate in future cash flows from this world-class mining project. This is a perfect illustration as to how we can unlock portfolio value, using our team of experienced technical experts to work with Aura on this next chapter for Dundee. In addition, I would just like to congratulate the Dundee team for another quarter of solid investment success, despite a very challenged market broadly and for junior mining, specifically.  Dundee Corporation incurred a pretax profit of $10.2 million in the third quarter of 2022 compared to a loss of $47.8 million in the third quarter of 2021. The key driver this quarter was a $19.8 million gain on our consolidated investment portfolio, driven primarily by Reunion Gold. The company generated consolidated revenues of $2.6 million, compared to $4.8 million in the third quarter of 2021. The market value of our publicly-traded securities increased to $126.7 million as of September 30, 2022 from $118.6 million at June 30, 2022 representing 7% increase quarter-over-quarter. This quarter we moved Big River Gold from our publicly traded securities portfolio to our investment to our investments accounted by the equity method as Borborema Inc. This also included a $3.4 million top up payment to get us to our 20% interest in the joint venture and we have an initial carrying value of $17 million for the entity. Now, turning to the portfolio, net income from our portfolio investments, excluding GCIC, was $19.4 million in Q3 of 2022, compared to a loss of $40.5 million in the third quarter of 2021. Again, notable positive performance came from gains in Reunion Gold is $23.8 million.  The company had an active quarter of investment. During the third quarter of 2022, the Company invested $7.5 million in new and existing positions in its corporate portfolio, not including our $5 million participation in Magna's $20 million private placement. Net gain from investments during the third quarter of 2022 includes $200,000 in dividend and interest income distributed from our portfolio investments compared to $1.6 million in the year ago period.  Now looking at operating subsidiaries performance for the quarter. GCIC's assets under management decreased from $42.8 million in Q2 to $37 million in Q3 due to the challenged environment for junior mining equities during the quarter. Now, I'll walk very briefly through the remaining operating subsidiaries before I turn the call back over to Jonathan. Dundee Sustainable Technologies included -- incurred a pre-tax loss of $900,000 in the third quarter of 2022 compared to a loss of $800,000 in the third quarter of 2021. Third quarter of 2022 revenue for DST was $1 million, a $200,000 decrease from $1.2 million in the prior year. We would like to congratulate Jean-Philippe Mai on his appointment as President and CEO of DST, who will replace David Lemieux in the role. David will remain as a Director of the company and will remain involved during the transition phase. Jean-Philippe has been a key member of leadership of DST since 2013.  AgriMarine reported a pre-tax net loss of $6 million in the third quarter of 2022 on sales revenues of $1 million, compared to a loss of $900,000 and $1.9 million respectively in Q3 2021. The loss during the quarter was primarily attributable to a $5.3 million impairment of fixed assets during the current quarter.  During the third quarter of 2022, Dundee 360 generated a pre-tax loss of $100,000 compared to earnings of $600,000 in the year ago period. Blue Goose incurred a pre-tax loss of [$300,000]. The primary remaining asset in the entity is the escrow of $3.1 million, which is expected to be settled on April 18, 2023. UHIC reported a pre-tax loss of $42,000 in Q3 2022, compared with a $2.3 million gain into Q3 2021. Despite persistently strong oil prices, the political environment in Chad remains uncertain. The company's carrying value of its 84% interest in UHIC is approximately $3.2 million as of September 30, 2022. Now turning to the head office. The third quarter of 2022 consolidated G&A, which includes all of our subsidiaries G&A inclusive of stock-based compensation was $6.7 million compared to prior year of $5.9 million from continuing operations. This includes a onetime lease termination payment associated with a legacy lease in Montreal for $1.7 million. Excluding stock-based compensation, consolidated G&A was 25% higher to $6.2 million in Q3 of 2022 compared to $5 million in the prior period. Excluding the onetime expense associated with the Montreal lease consolidated G&A excluding stock-based compensation would be $4.6 million or down approximately 9% from the same period last year. Head office G&A excluding stock-based compensation for Q3 of 2022 was $4 million, compared to $2.3 million in Q3 of 2021. And again, if you exclude the onetime expense associated with the Montreal lease, head office G&A, excluding stock-based compensation would be $2.3 million, unchanged from the same quarter a year ago. We entered the quarter in a solid liquidity position. At quarter end, we had $45.6 million in consolidated cash.  That concludes my comments. Back to you, Jonathan.
Jonathan Goodman : Thank you, Lila. Well, that is the end of our formally prepared remarks. So I'm going to open the floor for some questions. Operator?
Operator: [Operator Instructions] And your first question will be from Daniel Baldini at Oberon. 
Daniel Baldini: So about this TauRx, it seems very exciting. And certainly could have a big impact on your valuation. But I noticed there's this blog called Fierce Biotech, which has articles and so on, on it. They had a story about a month ago that leads off with the following two sentences. Says TauRx Pharmaceuticals is set to test the regulatory bar for approval of Alzheimer's disease drugs in the post-Aduhelm world. The company was unable to show how its candidate performed compared to the control arm in a Phase 3 clinical trial. But it plans to use the dataset to seek approval anyway. So I'm wondering if you have any opinion on the length of the path to approval and the likelihood of approval for TauRx? Because certainly if they succeeded, should have a big impact on the value of your investment.
Jonathan Goodman: Sure. I'm happy to. I mentioned the safety efficacy of TauRx being very good. That doesn't mean there aren't any side effects with the drug. And unfortunately, one of the side effects is, the polite way that they call this called urine discoloration. And the answer is it turns your pee blue. And they have been working really hard to try and develop a placebo that will still turn your pee blue and they have been unable to do so. And that's why a comment like that is a very misleading comment, because it suggests that because they didn't have a proper placebo. What they did in their study is they used a very low dose of the tau Rx drug enough to discolor the urine, but not enough they hoped to have an effect. And what they found was, even at the low dose, there was still an effect. And they have actually shown that there is no way of creating a placebo using their own drug. And that's why they are making reference to. But just because they don't have a placebo to compare it to, does not, by any means, make it a failed trial, because the reality of the situation is, there are many Alzheimer's tests going on with many drugs and each of them have the same thing in common. They test patients who have been diagnosed with Alzheimer's and some of who are mildly impaired and some who are moderate. And every placebo group -- a placebo group for a biogen test is no different than a placebo group for a tau Rx test. It's someone that thinks they're taking a drug and they are not. So there's lots of placebo data to compare themselves to.  And there are provisions in the FDA and that allow you to go ahead with the drug approval, without a placebo and there is three of them, and I don't -- I apologize, I don't remember the three. One of them is using a standard recognized database and I can't remember the other two, that allow you to move forward without a placebo. But the bottom line is, with the MCI data, the mild cognitively impaired, TauRx actually improved the cognitive functions of people with dementia. That's never been done in any clinical trial at any level before this is our understanding.
Daniel Baldini: Okay. Well, great. There was news today actually that Roche's Alzheimer drug has failed in its Phase 3 trial so. But do you have any sense of the timing of the path to approval?
Jonathan Goodman: We really don't. We know that they have completed the rights offering, that the warrants came in. So they're well cashed up with $119 million. They're working very closely with a company called Eversana, and that -- I think it's probably not a lot different than approving -- getting an environmental approval on a mine. You go through it, you set out the process and whether it takes one year or a year and a half, I don't think you have total control. You need to actually convince the other side that you are doing it right.
Daniel Baldini: Okay. And one final question. So you have your investment marked at $25 million right or $25 a share, or have you marked it out to the rights issue?
Jonathan Goodman: Yes. We marked it down to the rights issue.
Daniel Baldini: So it's -- how are you -- so what is the value of your investment on the September 30 balance sheet?
Jonathan Goodman: I think it's around CAD40 million. Lila, you can correct me if I'm off. 
Lila Manassa Murphy: Yes, it's CAD38 million. We have not written it up to the value of the warrant exercise, because we just learned of the news this morning.
Operator: [Operator Instructions] And at this time, we have no other questions registered. Please proceed with the closing remarks.
Jonathan Goodman: Well, that concludes our Q3 2022 conference call and I look forward to speaking with everyone in the new year after our year-end call. Thank you very much and have a good day.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again thank you for attending. And at this time, we do ask that you please disconnect your lines.